Operator: Greetings. And welcome to GSE Systems Incorporated Fourth Quarter and Full Year 2018 Financial Results Conference Call and Webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to our host Mr. Devin Sullivan, Senior Vice President of The Equity Group. Thank you. You may begin.
Devin Sullivan: Thank you, Diego, and good afternoon, everyone. Thank you for joining us today. Before we begin, I would like to remind everyone that statements made during the course of this call maybe considered forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Act of 1934. These statements reflect current expectations concerning future events and results. Words such as expect, intend, believe, may, will, should, could, anticipate and similar expressions are words that are used to identify forward-looking statements, but their absence does not mean a statement is not forward-looking. These statements are not guarantees of future performance and are subject to risks and uncertainties and other important factors that could cause actual performance or achievements to be materially different from those projected. For a full discussion of these risks, uncertainties and factors, you are encouraged to read GSE’s documents on file with the U.S. Securities and Exchange Commission, including those set forth in periodic reports filed under the Forward-Looking Statements and Risk Factors section. GSE does not intend to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. On this call, management may refer to EBITDA, adjusted EBITDA, adjusted net income and adjusted EPS, which are not measures of financial performance under Generally Accepted Accounting Principles, or GAAP. Management believes that these non-GAAP figures, in addition to other GAAP measures, provide meaningful supplemental information regarding the company’s operational performance. Management uses these non-GAAP measures to evaluate the performance of GSE’s businesses and to make certain operating decisions such as budgeting, planning, employee compensation and resource allocation. This information facilitates management’s internal comparisons to GSE’s historical operating results, as well as the operating results of its competitors. Since management finds these measures useful, GSE believes that investors may benefit by evaluating both non-GAAP and GAAP results. Investors should recognize that these non-GAAP figures might not be comparable to similarly titled measures of other companies. These measures should be considered in addition to and not as a substitute for or superior to any measure of performance prepared in accordance with GAAP. A reconciliation of non-GAAP measures to their most directly comparable GAAP measures in accordance with SEC Regulation G can be found in the company’s earnings release. Now with all that said, I would like to turn the call over to Mr. Kyle Loudermilk, Chief Executive Officer and President of GSE Systems. Kyle, please go ahead.
Kyle Loudermilk: Thanks Devin. I would like to welcome everyone to GSE Systems’ fourth quarter and full year 2018 financial results conference call. Also on today’s call are Chris Sorrells, our Chief Operating Officer; and Emmett Pepe, our Chief Financial Officer. Earlier today, we issued a press release covering our fourth quarter 2018 financial results. Hopefully, you have had a chance to review this news release, but if you have not a copy can be found on our website at www.gses.com under the News section. I am proud to report that our adjusted EBITDA in the fourth quarter of 2018 grew 47% year-over-year to $2.8 million. For full year 2018 on a year-over-year basis, GSE's revenue increased 30% to $92.2 million, adjusted EBITDA rose 32%, $7.4 million and adjusted earnings per diluted share grew 60% to $0.24 per share. These outstanding financial results reflect our ongoing dedication to providing clients with best-in-class engineering and expert staffing solutions, as well as our efforts to enhance GSEs capabilities through carefully selected acquisitions. The highly complementary acquisitions of Absolute Consulting in December 2017 and True North Consulting in May 2018 both contributed meaningfully to our 2018 financial results. With greater scale, we're starting to deliver operating leverage. Our SG&A as a percentage of sales declined approximately 300 basis points to 19% in 2018, compared to 22% in 2017. We continue to advance our strategy of consolidating the fragmented vendor ecosystem serving the nuclear power industry. After quarter end, in February 2019, we acquired DP Engineering, founded in 1995 this Texas-based engineering firm brings to GSE full competency in engineering design modifications centered around regularly scheduled nuclear plant outages among other value-added capabilities. DP Engineering generates over 90% of its revenue from the nuclear power industry and employs approximately 110 full-time professionals with core expertise in, mechanical design, civil structural design, electrical instrumentation and controls design, digital controls, Cybersecurity and fire protection. Following up on the DP client issue we mentioned in our earnings release, after recent performances this year to customer location in accordance with the standard operating procedures and an engineer choice agreement, a customer DP Engineering issued a notice of suspension to DP Engineering although root cause analysis of the event proceeds. Approximately 25% of the impacted DP projects have already been restarted at the request of the customer. DP Engineering and GSE are working with the customer and outside vendors to advance a thorough route cause analysis related to the event. This is the appropriate and standard procedure in the industry and we anticipate further clarity once the analysis is complete. That said, we remain confident that DP will be an essential part of the business and are excited by the opportunities ahead of us. Back to fourth quarter, new orders remain healthy at $17.7 million, compared to $17.9 million in the prior year. Key orders included a $3 million experts staffing contract from a leading Northeast utility, a $2.6 million contract automate data validation and reconciliation fleet-wide for a major customer, a $1.7 million full scope simulator for an international client. And finally a $308,000 software perpetual license for a client in the Department of Energy and support of the U.S. Navy's nuclear propulsion research efforts. Our quarter end backlog remains strong at $68.7 million, compared to $71.4 million at the end of 2017. Total backlog consisted of $47.5 million of performance improvement solutions and $21.2 million of nuclear industry training and consulting backlog. These are solid numbers given the significant burned down of the large full scope simulator project for a Southern nuclear utility operator which also accounted for approximately $28 million in backlog for performance solutions when signed over three years ago. This once-in-a-generation order which added over $10 million in annual revenue in each of last two years will contribute modestly to our 2019 results as we wind down and close out its final requirements. That said, our growing portfolio of solutions and ability to cross-sell puts us in a position to build our backlog in 2019. A good example of what I'm referring to is a $2.6 million contract that we announced in January, 2019 from a major U.S. nuclear operating company to deliver a data validation and reconciliation solution for that utilities large fleet of nuclear reactors. We are leveraging True North’s extensive subject matter expertise and innovative third-party software to build simulation models of the client's numerous nuclear reactor plants and integrate those models with the respected plant information systems to automate DVR fleet wide. True North took the lead on this project and we crossed utilized our resources across GSE to win this project including R&D and nuclear engineering professionals. As a result of our being one company, we are uniquely able to provide this solution with greater value than either could independently. By offering our customers and expanded array of value-added solutions such as this one we are solidifying our position as go-to-provider, specialized engineering and experts staffing solutions for the nuclear power industry. So to recap 2018, we won a record number of new business orders globally and maintained a solid backlog, despite the wind down of our very large nuclear full scope nuclear simulator project. We acquired True North and fully integrated the organization with GSE’s business. We achieved strong growth at the highest level of revenue, gross profit, adjusted EBITDA and adjusted EPS since I joined the company. And finally, we provide a comprehensive differentiated and world-class solutions to provide compelling value to our clients. In conclusion, entering 2019, we believe we’re in a strong position to continue to grow and enhance our operations. We expect to achieve additional operating leverage in the business and we believe the acquisition of DP Engineering will create meaningful additional value for customers, our shareholders and for our very talented people. I’ll now turn the call over to Chris Sorrells, our COO. Chris, please go ahead.
Chris Sorrells: Thanks, Kyle. I am also really pleased with GSE’s performance in 2018 and believe our momentum continues into 2019. I’m going to start by talking about our latest acquisition. We acquired DP Engineering for several reasons. One, it provide us with a core competence in nuke facility outage work which takes place approximately every 18 months for the average nuke plant.  Two, it deepens the customer relationships including with a primary client that we both share. Three, its business model is largely timing materials versus fixed price so less complexity on back office integration. Four, it present another compelling cross-selling opportunity for us. Five it enhances GSE’s margin profile that grows profit margins expected to exceed 30% and historically its generated strong free cash flow. We do expect some choppiness in DP results over the next few months as we work through typical integration issues that we experienced of the prior result as well. As well as, the works suspension order that Kyle mentioned. That said, we purchased this asset for its long-term potential we’re glad it’s part of the portfolio and believe we can achieve a significant internal in our investment, which should become more evident as we enter the second half of the year. With the DP acquisition it is worth noting that GSE now has more than 507 employees as well as access to our proprietary database and thousands of additional expert professionals hat can help meet our clients' complex needs. For example if a client requires an electrical engineer with a digital control expertise on say the Westinghouse, ABB, Siemens system, we likely can match a highly qualified professional within 48 hours. And in some instances, may have even worked with client previously. As we have done with other deals prior to the transaction close, we prepared a detail 100 day plan integrate DP with GSE. Under our integration plan, the DP unit will report to me and as finance team will report to Emmett. It’s business development team will report to DP’s President, Greg Hietpas, with that dotted line the GSE’s senior Vice President of Business Development. GSE will assume back office functions such as payroll, insurance, compliance, legal, et cetera and we’re moving swiftly to ensure that DP is fully integrated by the end of the third quarter. We are keeping the DP Engineering name given its brand recognition within the industry. With each acquisition the plan is to brand it with GSE company mark and meet each logo. From this instance we are talking about the DP Engineering with GSE company. I like to briefly comment on our M&A pipeline. The goal remains to close two value creating strategically deals per year and we already have completed a first in 2019 with the purchase of DP. Currently we are engaged in meaningful discussions mostly comprised of engineering businesses an expert staffing businesses serving nuclear. And we will expect a combination of cash, selling, earn-outs and possible equity in the future deals. Given the current pipeline we are maintaining an appropriate cadence of acquisitions to achieve a Vision 2020 goal of more than $200 million in revenue and $20 million of adjusted EBITDA on an annual run rate basis by December of 2020 assuming it will secure the necessary capital to close such deals. Once last comment on industry developments and policy, 2018 was a good year for state lawmakers, passing laws, protecting its nuclear assets. The biggest law of the year was passed on May 22nd New Jersey passed a bill establishing a zero emission certificate program to maintain New Jersey nuclear energy supply, which contributes close to 40% of the states’ electric capacity and is by far the largest source of carbon free power. The core reactors operating in New Jersey are capable of generating over 4,100 megawatts of electricity. Now moving on to near-term positive pending legislation, a draft law updating the Pennsylvania Alternative Energy Portfolio Standard Act to recognize nuke energy for its significant contribution to the states zero energy production has been introduced to the state legislature. Representative Tom Mehaffie who introduced House Bill 11 to Pennsylvania nuclear power plants generate 42% of its electricity and 93% of its zero carbon power that are currently excluded from AEPS program. House Bill 11 aims to change that they include nuclear energy. The actions of New York, Illinois, Connecticut and now New Jersey represent a firm which may continue as state such as Ohio and Pennsylvania considered legislation to recognize the value of zero carbon power produced by nuclear plants in the respective states. This is very similar to having normal portfolio machine that was rolled out of cost more than half the states in the U.S., to recognize the benefits of zero carbon renewable power. With that, I'd like to turn it over to Emmett, who will review the fourth quarter financial results.
Emmett Pepe: Thank you, Chris. I'll begin with an overview of our fiscal year end results. 2018 results highlight our progress toward the Vision 2020 goal that we published in the beginning of last year. Fiscal 2018 produced strong numbers for new orders revenue, gross profit, adjusted EBITDA, adjusted net income and adjusted EPS. Throughout the year we highlighted some of our new order wins in various press releases. We have significant wins in China, Slovakia and Korea, for nuclear power simulation work totaling approximately $12 million. In November, we announced the five-year contract worth up to approximately $19 million, which is a continuation of support at two U.S. government engineering laboratories, dedicated to the support of the U.S. Navy. Also, the $2.6 million contract, Kyle discussed earlier awarded, awarded to True North for data validation and reconciliation solution is an excellent example of a collaborative culture that we're building with this platform. With the full year of Absolute and a partial year of True North, we were able to grow the revenues 30%, gross profit, 25%, and adjusted EBITDA 32% year-over-year. While we do experience quarter-to-quarter fluctuations, good example of which is our generally lower first quarter when we tend to incur seasonal operating expenses related to year-end audit and tax fees, we are managing the business for sustained long-term results. Our year-over-year improvements across multiple facets, showcases this strategy. We're looking forward to continuing this progress in 2019, which is already off to a promising start with the recent acquisition of DP Engineering. I would also like to remind everyone that we expect to utilize approximately $4 million of our net operating losses in 2018, based on profitability, and have approximately $18 million of NOLs remaining as of December 31, 2018. The earliest tranche of those NOLs are not set to expire until 2024. We are reasonably comfortable that we can utilize this asset fully. Depending on the level of our M&A activity, these NOLs can seal GSE from paying cash taxes over the next two plus years. We believe these NOLs are meaningful in relation to GSE's recent equity market capitalization of around $60 million. Now, to review the results for the fourth quarter. Total revenue in Q4, 2018, increased 4% to $22.9 million from $22 million in Q4 of 2017. The increase year-over-year was driven by a $2.5 million increase in the performance improvement segment due to our Q2 acquisition of True North. Our NITC segment declined year-over-year by $1.7 million, primarily due to lower staffing demand for Absolute consulting. We have already made progress in addressing this issue in our and NITC segment by increasing our business development efforts. Gross profit in Q4 of 2018 rose 25% to $6.5 million from $5.2 million in Q4 of ‘17. The $1.8 million increase in our performance improvement segment was driven by our Q2 2018 acquisition of True North, as well as a significant cost savings realized in a few major simulator projects. This significant cost savings on percentage of completion projects allowed us to capture additional margin on work completed in prior quarters. NITC segments gross profit decreased $500,000 year-over-year due to the decrease in revenues detailed previously. SG&A expenses increased only a $100,000 year-over-year. Considering the addition of True North in 2018, we're very pleased with this result. This shows the effectiveness of our international restructuring effort as well as the operating leverage we can achieve as a large platform. Non-GAAP adjusted EBITDA as defined in our earnings release, increased to $2.8 million in Q4 ‘18, compared to $1.9 million in Q4 ‘17. We concluded 2018 with a cash position of $12.1 million, and total debt of $8.5 million. With the acquisition of the DP Engineering, we have increased our total debt position subsequent to quarter end to approximately $23 million. In addition, for the rest of 2019, we are amortizing approximately $400,000 per month or $5 million per year in debt and we'll reduce our modest leverage ratio significantly and rapidly. This debt has approximately 35% hedged at 5%, with the balance in a floating interest rate currently just under 5%. We have fully utilized our $25 million delayed draw term loan with Citizens Bank. However, through our banking relationship we are positioned to increase our borrowing capacity to facilitate future acquisitions. We will prudently use any additional debt, maintaining appropriate leverage ratios as we execute our Vision 2020 strategy. I'll now turn the conversation back to Kyle.
Kyle Loudermilk: Thanks, Emmett. Operator, please open the floor to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Tate Sullivan with Maxim Group. Please state your question.
Tate Sullivan: Hi. Thank all. Thank you for that detail on the DP acquisition and everything. And first, on the EBITDA in our fourth quarter, $2.8 million, I mean with 12% margin there, and Emmett, I think you mentioned some close outs, some cost savings on, I assume, the large simulator project. But I mean, are you maintaining your 7% to 10% EBITDA margin target, I think, it was for ‘20? And how much of that in the quarter was one time in that $2.8 million?
Emmett Pepe: We definitely are maintaining our historical thought process. The one-time we wouldn't disclose that detail at this point.
Tate Sullivan: Okay. And Chris, I think, you mentioned 2020 EBITDA target run rate at the end of the year you're still $20 million, is that correct or was it a range?
Chris Sorrells: I said $200 plus $20 plus in the debt. We had $200 million to $300 million revenue, adjusted EBITDA $20 million to $30 million.
Tate Sullivan: $20 million to $30 million. That’s right. Okay. Okay. Thank you. And Kyle, thank you very much for giving the detail on the DP and the site event. How much lead time do you get in that site event that led to temporary closing of the projects or can you just go into more detail there? And did you have a inkling of this at the deal time when you close the deal or is this somewhat standard at nuclear sites as well?
Kyle Loudermilk: Well, what's occurring right now is a standard process with the customer and our contract where if an issue arises they can issue a suspension of work order. So as I mentioned, 25% of the affected project already been affected, there's really little lead time to that Tate.
Tate Sullivan: Okay.
Kyle Loudermilk: It's an e-mail, it's a call, it pretty much happens in real time and it was after the close. But with that said, we're working closely as a team with DP and are really happy DP is part of the GSE family.
Tate Sullivan: Thank you for that detail too. And is it – can you – does DP have meaningful customer concentration or site exposure or how diversified is its customers?
Kyle Loudermilk: Chris, do you want to take that?
Chris Sorrells: Yeah. Sure. At the moment, we have not been able to -- we're still working to evaluate that information is something that we can even share under our commercial agreement.
Tate Sullivan: Understood.
Chris Sorrells: So, as you can imagine it's sensitive. In nuke, it is not uncommon to have customers 20%, 30%, 40% plus, you have seen us in prior deals have customer concentration that ranged from 20% plus. If you looked in prior case, you will see that our NITC division has customers in the 50%-ish plus range. As you will notice in prior case, our customer concentration has approached north of 20% with a single customer. So nuke is probably 10 players that really matter that have consolidated the 99 reactors that are present in the industry. And it really fits with what we have been saying which is with a concentrated customer base of actually suppliers will be forced to consolidate as well. So that is just part of the business that one confront with on a regular basis.
Tate Sullivan: Okay. Thank you. And last one on the DP, the recent event too is that and you've already restarted 25% of the projects when you get a notice of suspension in the industry, how long might it take to resolve? Is there a base case for that?
Chris Sorrells: Well, our strategy is to – I mean, forget this particular event. Every project, every customer interaction, we are focused on being very responsive in providing top-notch service. And this situation isn't different. So we are super pleased with the response of the team. They're working diligently to address the issue. There are some dates and things that we are doing. We have been on site communicating. When this – really to be determined and part of that will be the some of the analysis that we are conducting.
Tate Sullivan: Okay. Thank you very much for all that detail.
Kyle Loudermilk: This is Kyle. Just to add a little clarity on that too. Our engineering choice contract with this customer really contains provisions contemplating exactly just kind of process in certain circumstances. So the process we're following is already anticipated. As we disclosed in our earnings release, we've already seen that 25% of the customers projects get turned back on and while experience suggest that the notice will not be lifted until cost analysis is complete, we just don't have clarity on a specific time when that is but we're racing full steam ahead.
Tate Sullivan: Okay. Okay. Thank you very much.
Operator: Thank you. [Operator Instructions] Our next question comes from Josh Vogel with Sidoti & Company. Please state your question.
Josh Vogel: Thank you. Good afternoon, everyone. You've already covered what's going on with DP a lot, I was just curious with the suspension order delay, does that also delay your integration timeline?
Kyle Loudermilk: No. Not at all. We're working really closely with DP to create very talented group. As a combined entity, I think it makes legacy GSE and the DP stronger as a result. So, no, we don't expect any trips and integration practices and it's a great group to work with.
Josh Vogel: Okay. Great. Emmett, you did a good job discussing the gross profit and the margins in the quarter and some items that contributed there. I recall in Q3 there is a one-off recognition of revenue from the Southern nuclear utility operator. I was wondering if there was any other one-off items that contributed in Q4?
Emmett Pepe: Yes. We did, as I mentioned, we had a couple percentage of completion contracts that we realized some cost savings, that would be one-offs similar to the Southern utility company once we had in Q3.
Josh Vogel: Okay. And you had mentioned in the past that the landmark project from 2016, was generally lower margins than the legacy business. Now that that's running off, should we expect to see a bump in the performance solutions margin in 2019 versus prior years?
Emmett Pepe: In general, yes, but different projects will have different mixes. But conceptually that particular one was heavy with equipment. That just had a mark up, so overall margin our engineering services margins are higher. But to the extent some of our businesses simulators that we have overseas that those margins could also be consistent with this Southern utility.
Josh Vogel: Got it. Thanks. Got it. Thank you. And just two more quick ones if I may. It was nice to hear you won a software perpetual license in the quarter, I was just curious how much revenue today comes from software licenses and what's your expectation around gross as we move forward?
Kyle Loudermilk: Yeah. This Kyle. Yeah, it was great win, absolutely delighted, nice proof point in our thesis here. We state publicly that in our investor deck that software at occurred size is less than 5%, but do we get these nice points that come along the way, which are adding a lot of value to our customers. It’s highly profitable for us as we sell that and the expectation is with all the expertise we have on Board now we're going to come up with new ideas much like that opportunity the $2.6 million opportunity highlights. So, again, that's a real-time example of how we’re working to grow the business and add more value.
Josh Vogel: Great. Thank you. And just lastly, you were just talking about the $2.6 million contract, I know that began as a pilot program, can you just talk about the environment today, how many pilot programs are you working on and expectations going forward there?
Kyle Loudermilk: Right. Well, we don't publicly disclose our early adopter program resident participants rather, but we are highly active with clients on pilots and really around early adopter program so that we can quickly test the market, working usually with the sponsored client or two around specific solution concept. If it gains traction, it advances, so you see that here. If it doesn't we move on to the next pivot and that's a modern way of developing a technology being leaned doing quick turns and making sure you don't go off course. So I gave that color.
Josh Vogel: Okay. Actually if I could just sneak one more in with regards to that contract I know that it covered the build-out for 2019. You had mentioned in the past that you may end up winning the integration side of the work in 2020, when would you find that out?
Kyle Loudermilk: I don't recall off the top I had the timing of the project, but we probably find out as the project is unfolding through the course like 2019…
Josh Vogel: Okay.
Kyle Loudermilk: … but that's speculation, that's not a project commitment or forecast or anything.
Josh Vogel: Okay. Well thank you for taking my questions.
Kyle Loudermilk: You’re welcome. Thanks. Thank you.
Operator: Thank you. Our next question comes from Tate Sullivan with Maxim Group. Please state your question.
Tate Sullivan: Hey. Thank you. Thanks for the follow-up. Just real quickly. Emmett did you say and if you can that you closed out the simulator, the largest simulator order in the quarter or is there still some revenue going into ‘19 on that?
Emmett Pepe: That’s still active in the ‘19.
Tate Sullivan: Okay.
Emmett Pepe: Still going.
Tate Sullivan: Okay. Okay. And then Kyle before you’ve talked about the recent signs of more people in the nuclear industry retiring or reaching retirement age. Have you seen more recent signs of that?
Kyle Loudermilk: It’s a continuing process. There is -- it’s a wave, it’s continuing, its long wave, there has been no change in our observation. So it’s definitely an issue for industry but one where we can help address any kind of skills or labor gap or project gaps.
Tate Sullivan: So on that note why the absolute comment on the absolute lower staffing demand be temporary on that or were there some seasonal considerations?
Kyle Loudermilk: While we don't give guidance. So that’s the first thing I just to be clear on. But there are some puts and takes in any one of our business. So it’s a dip in revenue typically what you do is make sure you get the right sales people with the right commission plan and get them out there to make sure we’re winning business versus our competitors and across the Board that’s what we’re doing. But we’re going to have puts and takes from a quarter to the next for anyone of our business lines.
Tate Sullivan: Okay. And on that and last from me is the orders quarter to quarter and I mean I understanding and I think you had some sequential drop in orders from 3Q to 4Q last year. Is that based on trends, seasonal trends in the industry or can you just talk about the orders in the quarter to?
Kyle Loudermilk: Yeah. I’ll talk about it, I mean, in general are business state, especially on these projects that are not time and material. There is a very – it’s a – there is definite lumpiness for that business. Now as a platform add more talent, businesses, customers and diversify our offerings to the market we would expect that lumpiness and the peaks and values to level out somewhat, although it’s not entirely go away. So the projects could be driven by a project need, industry need could be cyclical, it could be driven by outages, could be driven by client budgets. So there is really no predicting or putting your finger at anyone one thing other than to say there is for anyone of our businesses that are not time and materials it’s going to be lumpiness. And again the larger we get the more the peaks and value should level out.
Tate Sullivan: Okay. Okay. Thank you very much.
Kyle Loudermilk: Thank you.
Operator: Thank you. There are no further questions at the time. I’ll turn the conference back to management for closing remarks.
Kyle Loudermilk: All right. Thanks everyone for joining us. In closing, I’d like to say how pleased we are with our progress in 2018 and reiterate our focus on continued improvement as we go forward. I'll be presenting at the Rock Conference and Datapoint, March 19th and at the Sidoti Conference in New York, March 28th. For those of you who are attending either or both of these events, I hope to see you there. And thank you all again for your time and interest in GSE.
Operator: Thank you. This concludes today's conference call. All parties may disconnect. Have a great day.